Matthew Custer: Aloha from Kona, Hawaii. Thank you all for joining us today to report Cyanotech's First Quarter Fiscal Year 2024 Earnings Results. I am Matt Custer, President and Chief Executive Officer of Cyanotech. Joining me on the call today is Felicia Ladin, our Chief Financial Officer. 
 I will turn the call over to Felicia to provide our forward-looking statement. 
Felicia Ladin: Thanks, Matt. Our discussion today may include forward-looking statements. We do not undertake any obligation to update forward-looking statements, either as a result of new information, future events or otherwise. Our actual results may differ materially from what is described in these forward-looking statements. Some of the factors that may cause results to differ are listed in our publicly filed documents. For additional information, we encourage you to review our 10-Q and fiscal year 2023 10-K report filed with the Securities Exchange. 
 I will turn it back to Matt for comments on the quarter. Matt? 
Matthew Custer: This quarter, we continue to see the impact of consumers shifting their spend from goods to experiences and services and reallocation of spending related to the high cost of living. Due to these shifting consumer trends, we have added a new position to the company, Chief Strategic and Commercial Officer, to oversee and drive market strategy and revenue opportunities. 
 Ms. Collette Kakuk has been appointed to the position effective August 1, 2023. Collette is an accomplished creative and inspired business leader. She is deeply connected to the mindset of the discriminating consumer who researches and curates only the best healthy products for the family. She readily understands the distinguishing features of our products. 
 On the production side, we are performing efficiently and continue to manage production volumes in line with sales demand to control our costs. 
 On June 30, 2023, the company and Skywords Family Foundation, Inc. continued -- controlled by the Chairman of the Board executed a letter of intent to amend the existing credit facility to increase the monies the company can borrow from $1 million to $2 million, pending approval by First Foundation Bank, our principal lender, and USDA as well as completion of an agreement. The bank and USDA approved this transaction. 
 As I look forward, I'm optimistic about the company's future as we continue to build brand awareness for our naturally derived high-value nutritional products. 
 Turning over to Felicia to discuss the financial results. Felicia? 
Felicia Ladin: Thank you, Matt, and good evening, everyone. Key financial results for the first quarter. Total net sales for the first quarter of fiscal 2024 were $5.1 million compared to $6.7 million for the first quarter of fiscal 2023. Total sales revenue decreased by $1.3 million or 23% from the prior year due to the reasons outlined by Matt. 
 Gross profit for the first quarter of fiscal 2024 was $1.5 million with a gross profit margin of 29.8% compared to gross profit of $2.3 million and a gross profit margin of 34.5% in the first quarter of fiscal 2023, a 4.7 percentage point decrease due to higher costs related to lower production volumes. 
 Operating loss for the first quarter was $1.2 million compared to operating loss of $425,000 in the first quarter of fiscal 2023, an increased loss of $784,000. Net loss for the current quarter was $1.4 million or $0.22 per diluted share compared to a loss of $472,000 or $0.08 per diluted share in the prior year. 
 The company had cash of $648,000 and working capital of $4.4 million compared to $974,000 and $5.4 million, respectively, as of March 31, 2023. 
 I'll hand the call back to Matt for concluding comments. Matt? 
Matthew Custer: We've had no questions. Thank you for attending the call. Aloha.